Operator: Good day, ladies and gentlemen, and thank you for standing by. And welcome to the Monolithic Power Systems Incorporated Fourth Quarter and Full Year 2012 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we’ll conduct a question-and-answer session, and instructions will be followed at that time. (Operator Instructions) As a reminder, today’s conference may be recorded. It’s now my pleasure to turn the floor over to Meera Rao, Chief Financial Officer. Please go ahead.
Meera Rao: Thank you. Good afternoon. And welcome to the fourth quarter and fiscal year 2012 Monolithic Power Systems conference call. Michael Hsing, CEO and Founder of MPS is with me on today’s call. In the course of today’s conference call, we will make forward-looking statements and projections that involve risk and uncertainty, which could cause results to differ materially from management’s current views and expectations. Please refer to the Safe Harbor statement contained in the earnings release published today. Risks, uncertainties and other factors that could cause actual results to differ are identified in the Safe Harbor statements contained in the Q4 earnings release and in our SEC filings, including our Form 10-K filed on March 12, 2012, and Form 10-Q filed on November 5, 2012, which are accessible through our website www.monolithicpower.com. MPS assumes no obligation to update the information provided on today’s call. We will be discussing operating expense, net income and earnings on both a GAAP and a non-GAAP basis. These non-GAAP financial measures are not prepared in accordance with GAAP and should not be considered as a substitute for or superior to measures of financial performance prepared in accordance with GAAP. A table that outlines the reconciliation between the non-GAAP financial measures to GAAP financial measures is included in our earnings release, which we have filed with the SEC. I would refer investors to the Q1, Q2, Q3 and Q4 2011, and 2012 releases, as well as to the reconciling tables that are posted on our website. I’d also like to remind you that today’s conference call is being webcast live over the internet and will be available for replay on our website for one year, along with the earnings release filed with the SEC earlier today. We would like to start this call by reviewing our business highlights for 2012, followed by fourth quarter operating results and finally, our expectations for the first quarter of 2013. We will then open up the call to your questions. Let’s start with the business highlights for the year. We are pleased to announce MPS revenue grew 8.8% to $213.8 million in 2012. Clearly, outperforming the analog industry which SIA estimates shrank 7.2%. Gross margin also expanded 120 basis points to 52.9% in 2012. Our non-GAAP operating income for the full year rose $9.4 million to $35.9 million in 2012. Non-GAAP net income grew from $0.71 per fully diluted share in 2011 to $0.93 per share in 2012. In 2012, we grew revenue in each of our targeted market segments, industrial, computing and communication. Industrial is up 93.2%, computing grew 36.4% and communications increased 13.5% compared with 2011. Clearly, we are executing according to our plan. We saw a strongest growth in industrial markets where sales increased $12.3 million to $25.6 million over the prior year. This performance was fueled by increased product sales for applications and smart meters and general industrials, as well as commercial LED lighting. We have seen significant design win activities in building automation, securities, appliances, environmental controls and automotive. All these design win activities will continue to translate into revenue growth in 2013 and 2014. In 2012, computing revenue grew $11.1 million to $41.5 million fueled by strong growth in storage. In two years we have been able to grow storage revenues to more than $25 million and we see tremendous new opportunities for growth in this market. More importantly, our industry-leading point of load products have gained wide acceptance in servers and Ultrabooks and are expected to generate significant revenue in 2013. Revenue in the communications and telecom market also grew $6.1 million in 2012 to $50.9 million, primarily reflecting market share gains. In 2011, we introduced our first power module and in 2012, we introduced additional ease-of-use power module products targeting high efficiency and self constrained applications in networking and other markets. These products have generated great interest from networking, as well as top tier customers in other market segments. Revenue from consumer markets declined $12.2 million in 2012 to $95.8 million due to large part to anemic market conditions in the second half of the year. The TV market in particular was impacted by weaker demand. Looking forward, additional CoolPower products are starting production. Most significantly, we introduced a family of high current switching battery charges targeted at power application such as mobile phones and tablets. Our BCD3 technology has allowed us to make very small competitive and high-performance switching battery chargers. Initial feedback is very encouraging and we are currently projecting production ramps in the second half of 2013. 2012 has been a great year for our technology development. We launched our next generation BCD4 process technology which represents as much as 50% dye size reduction from our BCD3 technology release just a year ago. Our BCD3 technology leads throughout competition and we believe that BCD4 will extend our lead even further. BCD4 will enable us to deliver the highest power density products in the semiconductor industry, greatly reducing system size and complexity. The first products target networking, servers and storage. Switching to Q4. Our fourth quarter revenue of $48.2 million was at the mid point of our guidance. Compared with Q3, revenue was down by $8.3 million or 14.7%. Q4 revenue increased approximately $750,000 or 1.6% from the fourth quarter of 2011. Our fourth quarter gross margin was 53%, compared with the 53.1% reported in the previous quarter and the 52.5% posted in the same quarter from a year ago. Our non-GAAP operating income of $8.3 million was lower than the $10.5 million reported in the prior quarter, but higher than the $5.5 million from the same quarter of the prior year. Q4 non-GAAP net income was $7.7 million or $0.21 per fully diluted share, compared with $0.27 per share in the previous quarter and $0.15 per share in the prior year. Let’s review our non-GAAP operating expenses. Excluding stock compensation, our non-GAAP operating expenses for the fourth quarter of 2012 was $17.4 million, a reduction of $2.2 million from the $19.6 million we spent in the third quarter. This reduction was largely due to a $2.5 million legal judgment in our favor during the fourth quarter which we recorded as a benefit for litigation expenses. Moving on to our GAAP operating expenses -- GAAP operating expenses. Our GAAP operating expenses were $24.6 million in the fourth quarter, compared with $23.7 million in the third quarter. Since the only difference between non-GAAP operating expenses and GAAP operating expenses for these quarters is stock compensation expense, let’s take a look at the stock comp expense. Stock comp expense was $7.1 million in the fourth quarter, compared with $4.1 million in the prior quarter. As you know, MPS declared and paid a one-time special $1 per share dividend in December 2012 and equitable adjustment of vested stock options outstanding resulted in a $2.8 million stock comp charge in the fourth quarter. Switching to the bottom line. On a non-GAAP basis, our Q4 net income was $7.7 million or $0.21 per fully diluted share. This result is computed with an estimated tax rate of 7.5%. Q4 2012 GAAP net income was $248,000 or $0.01 per fully diluted share. On the topic of taxes, our GAAP tax rate in the last few years has been below 10%. However, our 2012 GAAP tax rate was 11.9%. Stock comp charges related to the special dividend that we mentioned earlier increased the 2012 tax rate by about 4% -- 4 percentage points. Now let’s look at the balance sheet. Cash, cash equivalents and investments were $122.4 million at the end of 2012, down from the $197.3 million at the end of the prior quarter. This reduction in cash is attributable to the $35.7 million in special dividend that we paid in December 2012. We also spent $2.1 million on capital equipment. MPS generated operating cash flow of about $12 million in Q4 and cash proceeds from employee stock option exercises contributed another $1.2 million. Cash, cash equivalents and investments were down $15.5 million from the $187.9 million at the end of 2011, mainly due to the one-time special dividend of $35.7 million paid in December, 2012. We also spent about $21.2 million on capital equipment and headquarter building improvement. During the year, MPS generated $26.5 million in operating cash flow and $16.2 million from stock option exercises and ESPP purchases by employees. Accounts receivable ended the year at $19.4 million, compared with $21.6 million at the end of the prior quarter and $15.1 million at the end of 2011. Days of sales outstanding were up slightly 37 days in Q4 from 35 days in Q3 2012 and up from 29 days in Q4 2011. Our internal inventories by the end of the year were $32.1 million, slightly lower than the $32.6 million at the end of the prior quarter. Days of inventory on the other hand increased from 112 days at the end of Q3 to the 129 days at the end of Q4 in line with lower Q4 revenues. While days of inventory into distributor channels remain the same as the prior quarter, inventory in the channel declined in dollar value. We also observe that most of the decrease in the distributor inventory was in older product, while new product inventory increased. I would now like to turn to outlook for the first quarter of 2013. Entering the first quarter, the CoolPower projects pushed out of Q4 have begun their production ramp. With the economy improving and design wins ramping, we’re seeing positive momentum in our business. Our revenue guidance is in the range of $49 million to $53 million. We expect gross margin to be in the range of 52.8% to 53.8%. We expect stock-based compensation expense to be in the range of $4.2 million to $4.7 million. In 2012, and 2013, we implemented pay-for-performance equity compensation program for our key employees. As a result, we are required under accounting rules to assess the probability of hitting the performance metrics on a quarterly basis. This will add volatility to stock comp compared to the physical straight line approach associated with time-based grants. We expect non-GAAP R&D and SG&A expense to be in the range of $20 million to $21.5 million. This estimate excludes the stock-compensation estimate mentioned above. In conclusion, we are executing through our vision of growing MPS to $500 million company and evolving from a consumer-centric company to a diversified company targeting cloud computing, Internet appliances, industrial and automotive markets. We are at the beginning of a new era of growth and diversification. I’ll now open the microphone for questions.
Operator: (Operator Instructions) Our first question comes from the line of Patrick Wang with Evercore. Please go ahead, your line is open.
Patrick Wang - Evercore Partners: Very good guidance. Meera, my first question is this one, when we take a look at 2012, you guys grew the business -- overall business about 9% year-over-year and that’s been a pretty tough market. I’m just curious when you kind of look out over the next year or so. How do you see guys performing versus peers. So, I guess I’m curious how much out performance do you guys expect versus the overall analog group when you kind of look at it all in?
Meera Rao: So, we expect to, definitely expect to outperform the market and the extent we outperform the market, all depends upon the market conditions that we have in 2013. But we have a very strong mix of design wins that we have. We are diversifying into several new markets that we have not diversified into before. And I think this will give us very good momentum.
Michael Hsing: Patrick, if you look at our long-term model as I said it before, 2013 we will try to hit our target model. And that’s also given the macroeconomic conditions and if the market is really against us, I think the percentage difference will show that.
Patrick Wang - Evercore: Got you. Okay. That makes a lot of sense. And, you know, I apologize for drilling in the background. When I take a look at your end market, you guys have significant growth in industrial and computing, within computing, some high quality storage business. Can you talk about some of the product cycles we should look forward to, kind of, on the horizon. It sounds like you guys have got a lot of good stuff in the pipeline. If you could just kind of walk us through couple of the Q1 that would be helpful? Thanks.
Michael Hsing: Yeah. There are so many of them, not just mentioning the field. Storage continues to be strong in 2012 -- 2013 and ‘14 and also point-of-load for communications for servers and for Ultrabooks as Meera mentioned it in the script. We’ll generate a meaningful revenue in 2013.
Meera Rao: We’d also -- we’d like to grow in industrial. We are in various different sub-segment in the industrial market like LED lighting, general industrial meters. So we expect to grow in those as well. And battery chargers is a new area that we expect to have additional incremental revenue this year that we haven’t discussed in the past.
Michael Hsing: Also, Patrick Wang talked about computing.
Meera Rao: Yeah computing, sorry.
Patrick Wang - Evercore Partners: Got you. Now I realized it. Last question, you had a push out last quarter from Q4 to Q1, a couple of million. Meera, you talked about that on the call. I’m kind of curious how much of that came through in the fourth quarter, how much more do you expect to get in the first quarter. Thanks.
Meera Rao: Some of the CoolPower production ramps that were pushed out of Q4 as we had said in the last call, we are seeing some of it come in this quarter. And we expect some of it to start next quarter. So, there is no change from what we had discussed in the last earnings call.
Operator: Thank you. Our next question comes from the line of Tore Svanberg with Stifel Nicolaus. Please go ahead. Your line is open.
Evan Wang - Stifel Nicolaus: Yeah. Hi. This is Evan Wang calling in for Tore Svanberg. Thank you for taking my questions. You have mentioned in your prepared remarks that you are seeing good business momentum. I was wondering if you could add some color to that comment. Where are you seeing the indications and what are some of your customers saying and maybe what are your bookings trend in your distri channel is looking like?
Michael Hsing: We said, I think, in the last quarter. There are a few customers -- there are a couple of customers that push out orders to Q1. And we also say that, okay, we see a positive momentum for MPS in the business. So all our customers stayed push out to Q1 and the orders came in. And other business segments, we are new to the market and we see a huge amount of growth opportunity. And we see all the tailwinds, we feel the tailwinds now.
Meera Rao: Okay. Just to add to that, we have been hearing from our customers increased confidence in the fourth quarter and in the last few weeks we have seen a pickup in orders. We have seen higher resale, all of which support the feeling that the momentum is building.
Evan Wang - Stifel Nicolaus: Thank you. And for my follow-up question, you had mentioned earlier in your response to one of the questions that you would try to hit your target model in 2013. Would you also including your revenue growth in that hitting the target model. I understand that you have a long-term revenue target of $500 million. So given that 2012 from a macroeconomics perspective hasn’t been all that helpful. Do you see some catching up in 2013?
Michael Hsing: Of course, MPS is a business borne by the macroeconomic conditions. What I’m talking about, you can’t really absolutely talk about the numbers. What you said -- and yeah, of course, the revenue is included in the target model. And I think what I really mean is the percentage is different from the industrial growth to MPS growth.
Evan Wang - Stifel Nicolaus: Great. Thank you.
Meera Rao: Yeah. We are not speaking to our growth rate number. I just want to make that clear. We just expect to be able to continue to outperform industry. If the market stays the same we will still outperform. If the market improves, we expect that could be sharper.
Operator: Thank you. Our next question comes from the line of Steve Smigie with Raymond James. Please go ahead. Your line is open.
Steve Smigie - Raymond James: Great. Thanks a lot and good to hear that things are looking up a little bit nice guide for the March quarter. I was hoping you could talk a little bit more about EasyPower. It seems like you had a fairly compelling solution there and can you talk a little bit about some color you might have had and because you’ve gone up against competition. And they looked at the size and the ability of your solution and told you why you -- like how would that bake off and go. And then specifically, can you still update us on what the market opportunity could be in 2013 and then what kind of growth did you see in 2014?
Michael Hsing: I think that EasyPower really at the beginning of the ramp. And we see a lot of application, building automation and also some of the infrastructures for environmental monitoring and those are widely accepted by our customers. And where we will see the revenues continue to grow and/or will start to grow in 2013 and continue to grow in 2014 as we call internal things became more and more popular.
Steve Smigie - Raymond James: Okay. Great. And then on your server power solutions, for Grantley have you seen anything that would suggest maybe how do all ramp starts more quickly for you or Grantley ramps starts more quickly for you than you might have thought. And it seems like there is some urgency or desire to push that forward to accept pull revenue forward for you a little bit or have you kind of already accounted for that in what you’ve told us?
Michael Hsing: I think that we have a lot of our design winning in the Haswell and in the Grantley Solutions. And we will see the revenue. We will see the strong revenue in 2013.
Meera Rao: On the Haswell Ultrabook front, we expect that to be bigger in the second half of the year because that’s when Haswell really ramped. But we’re already seeing some pre-production ramps now.
Operator: Thank you. Our next question comes from the line of Ross Seymore with Deutsche Bank. Please go ahead, your line is open.
Ross Seymore - Deutsche Bank: Hi. Thanks for letting me ask a question and congrats on the solid guide. Especially just looking at the first quarter guide, first and foremost, is there any large delta from an end market perspective and what you expect these segments to grow versus the 6% average at the midpoint of your guidance?
Meera Rao: In terms of with -- we will be able to kind of get very granular on this towards the end of the quarter. So, what I can see from the early signs right now I would say that I’d expect growth in all three of the market segments that they’re targeting -- communications, commuting and industrial.
Ross Seymore - Deutsche Bank: Got it. And then a bit of housekeeping more than anything else, what should we think of as far as how OpEx growth versus revenue tax rate for the year and CapEx for the year?
Meera Rao: Sure. Let’s start with CapEx. We expect CapEx to be around the $20 million level. In terms of the tax rate, I would say, we still expect to be below $10 million. So, I’d say -- we usually say $5 million to $10 million. And the reason we kind of give that range is there are bunch of discrete items that we won’t know until as the year plays out, but right now we expect to be 5% to 10%. In terms of OpEx, a lot of it depends upon the market. If market conditions continue -- if our revenue continues to be at the level we are projecting now, we will keep our expenses down as much as we can. So, I would expect that we would have some increase in new product costs, while some additional cost for key hires in marketing and sales. So once, say, business were to go back to normal and we see normal cyclicality out there than we would see -- we’ve been holding down a lot of discretionary spending and we would see that increase. We would also start investing in the future and start hiring more sales and marketing people in particular.
Ross Seymore - Deutsche Bank: Great. Thank you.
Operator: Thank you, sir. Our next questioner in queue comes from the line of Cheng Cheng with Pacific Crest. Please go ahead, your line is open.
Cheng Cheng - Pacific Chrest: Thank you. So, maybe a first question on the charger product, you talked about kind of seeing revenues in the second half. I was wondering if you can give a little more color around maybe the quantity or the quality of customer wins you have there or how big the opportunity you think it is.
Michael Hsing: We see -- the consumer or the MPS was a consumer centered company. We -- in the last couple of years we would try to diversify from the consumer market segments. And although the revenues where we start to -- we see the growth in 2013 a bit more opportunistic and that’s not the segment where we’re really focused on.
Cheng Cheng - Pacific Chrest: Okay. And maybe if I’m just looking, you guys have a variety of different ramps and designs, just looking at the segments outside of consumer. I guess, which end market do feel most excited about in 2013, is that computing or…?
Michael Hsing: Meera talked about it earlier. The industrial growth was almost 100% in 2012, and we see the similar momentums. I don’t imply the similar percentage and over growing tremendously in the market segment. And also the computing, telecom, and these are all in the storage, these are all our opportunities.
Meera Rao: The three target markets that we have, we expect to be able to grow in all of them. Industrial, as you know, is typically slower just by the nature of that market, but we have design wins in various -- from various different customers that will ramp. Computing, clearly, we’ve got the Ultrabooks. We’ve got the storage that’s going to be driving it. Communications is also an area where we expect revenues -- incremental revenues from Telco. But that’s again a slightly slower market to ramp, but as we go out this year you will definitely see design ramps. I mean revenue ramps from all three segments.
Operator: Thank you. Our next question comes from the line of Gus Richard with Piper Jaffray. Please go ahead. Your line is now open.
Gus Richard - Piper Jaffray: Yeah. Thanks for taking my question. On a little bit different tack here. Just curious what you are seeing in terms of wafer availability in terms of wafer pricing these days? Has it gotten better or worse or are the foundries tightening up at all sort of? How is that supply side of the equation working these days?
Meera Rao: In terms of availability, we don’t see any tightening out there. And if you remember as compared to 2010, we have a couple of different facts in our favor. One is that we have a smaller die size, which means we can get more wafers out of the two foundries that we have then. We also have a third foundry. So between that, we have higher wafer capacity and also remember that we are going into this upturn where the higher level of inventory that we had in prior upturns. And I think the combination of that we are not as concerned about the supply side of the equation right now.
Gus Richard - Piper Jaffray: And then just -- I may have missed it, but did you give the mix of BCD2 versus BCD3 at this point?
Meera Rao: I think we exited Q4 with about 40% of revenue was from BCD3, and we expect that to grow as we exit 2013 to maybe 60%, 70% level.
Operator: Thank you. (Operator Instructions) Our next question comes from the line of Lena Zhang with Baylock RV. Please go ahead. Your line is now open.
Lena Zhang - Baylock RV: Yeah. Thank you for taking my questions. I’m just kind of confused about your gross margin. In Q4, your revenue is down around the 15%ish and of course margin held pretty well, but look at your midpoint of Q1 revenue guidance and up sequentially but it’s much better than the seasonality. But gross margin guidance just seems a little bit weak, so would you please help me understand that?
Michael Hsing: Okay. Lena, this is not a precise point of index. Any small percentage of a change, we have a lot of factors in there. We can have a product mix and new product wins and so any small percent of a change like it’s a real business, not a real financial model.
Meera Rao: And then, I just want to add to Michael’s comment. We have this -- we are diversifying market and we are introducing new products that have better gross margin profiles. So what we are targeting is to see continued gross margin expansion and if you look at our guide for Q1, that’s what we are seeing. We have some revenue growth, but we also have an attendant gross margin expansion that we’re forecasting right now.
Lena Zhang - Baylock RV: Okay. Thanks. That’s all I have.
Operator: Thank you. Our next question comes from Patrick Wang with Evercore Partners. Please go ahead. Your line is open.
Patrick Wang - Evercore Partners: Yeah. Thanks. I just want to follow-up one thing. Can you remind us what your long-term targets are? I think on revenues in terms of OpEx, I think as we kind of look ahead with all these product cycles and growth drivers, I just want to refresh on that? Thanks.
Meera Rao: Okay. The long-term business model that we’ve been talking about is the one that we announced back in July of 2010, when we were focusing on more high-volume market strategy, and while some of those elements might not be quite as applicable. The key point that we have is our operating margin. We want to be a company that has a high operating margin, and we are targeting about 25% to 30% earnings. But that’s our long-term model and we recognized that we have two levers that we can pull the revenue and gross margin. We want to continue to be a high growth stock, I mean high revenue growth company as well as having a very attractive gross margin.
Patrick Wang - Evercore Partners: Okay. Great. Thanks.
Operator: Thank you. Our next question comes from the line of Steve Smigie with Raymond James. Please go ahead. Your line is open.
Steve Smigie - Raymond James: Great. Thanks a lot. And I just wanted to follow-up on the earlier question on BCD3. So with regard to the penetration you are talking about, is that just on the parts where you want BCD3? I know you’re rolling out BCD4 similar for separate products, so just hoping you could talk a little bit about? Is that penetration that you’re talking about, it’s just on the parts you want and just give an update on where you’re on the BCD4? Thanks.
Michael Hsing: The BCD3 product at this time is really the industrial leader for power density, and all the parts that we released from our second half of -- from the beginning of the first half of last year’s, all the parts released were all based on BCD3. And now these are products that are hitting the market for across the board from telecom and computing and also the EasyPower product line. And so in the 2013, we’ll continue to grow. And as Meera said the percentage of production shift from the BCD2 to BCD3 where you see that exhibit to this year is probably more than 60%, 70%. And we released the BCD4 product, which is further up to about 50% of a shrink from a BCD3. And those products, initially we’re targeting for telecoms and some of the industrial servers use.
Meera Rao: Yeah. So, we would be rolling out those products on BCD4 this year, and I’m expecting revenue from them more in 2014.
Steve Smigie - Raymond James: Okay. Great. And then just on the margin, can you talk a little bit about what the gross margin might be in some of the newer products versus, say, some of the consumer stuff that you are focusing less on in and let’s just say in an environment where if the products been in production for little while and so you don’t have any ramping issues. What sort of differential would you expect in that mix?
Michael Hsing: For the gross margin side, all the market segments we targeted tend to have a higher margin. And so as we grow in the margin real growth, but at the same time we still have a large percentage of product revenue in the consumer segment. We still have to defend that. And so the, let’s say overall, going forward we do see a margin creep up but at this time we don’t give it -- it’s not the right time to give a long-term gross margin model now.
Steve Smigie - Raymond James: Okay. If I could just speak one more on storage, it’s obviously been pretty successful for you guys. What’s the product cycle for that product, does that run just through ‘13 and then you have to introduce something new in ‘14, or how does that play out?
Meera Rao: The pre-mix that we introduced for SSD, is just one of a series of family of products that we have. So we expect to be able to continue to play and expand our revenues in this market as we come out with new products. So we expect that cycle to extend beyond 2013.
Michael Hsing: And to answer your question more clearly, yeah, it is model dependent and we do have to an executing. The design cycle is about a year or so.
Steve Smigie - Raymond James: Okay. Great. Thanks a lot. I appreciate it.
Operator: Thank you, sir. And presenters, I’m showing no additional questions in the phone queue. I would like to turn the program back over to Meera Rao for any additional or closing remarks.
Meera Rao: We would like to thank you all for joining us on this call and look forward to talking to you again in April. Thanks and have a nice day.
Operator: Thank you, presenters. Again, ladies and gentlemen, this does conclude today’s conference. Thank you for your participation and have a wonderful day. Attendees you may log off at this time.